Verena Nicolaus-Kronenberg: Dear analysts and investors, welcome to our Full-Year Results Presentation. Thank you for taking the time to join us in this particular market environment that we are facing at the moment.  I'm here with Leo and Marc today. And we are hosting a truly hybrid event on the E.ON site as Leo is here with me personally and Marc is joining us here with this video stream.  We are starting with Leo who will give you an overview of E.ON's positioning in the current situation together with the business highlights of 2022, and Marc will follow up with our financial performance, including the outlook for 2022. As usual, you will have enough room for questions, enough time for questions. We'll step over to Leo.
Leo Birnbaum: Verena, thank you. Good morning, everyone, also from my side. Actually, we have delivered very successful results for the fiscal year 2021. The numbers look good. We have performed operationally well. And that despite many challenges that we have already faced in the last year.  This would actually be a perfect basis for a very satisfying results call, but we have to acknowledge that these days, obviously, this becomes all far less important given the tragedy that which we are observing in Ukraine.  Obviously, for the sake of completeness, Marc and myself will run you through the results of 2021 and we will focus on all the important items. But first things first, we need to give you our assessment of what has happened. And so, let me first start with the current situation.  I have expected a lot. But what has happened really left me speechless. This is a war of aggression against Ukraine, which marks a break. This is not how societies should actually treat each other in the 21st century. This is throwback to dark times which we thought are over. And at E.ON, we condemn the war and the violence which we're observing in the strongest possible terms. And we fully support the sanctions imposed by the EU.  What we are witnessing is a catastrophe. It's the worst humanitarian catastrophe since World War Two, and that in the middle of Europe, and this consternation of ours is not abstract. Many of us at E.ON, we have actually Ukrainian colleagues, friends, relatives. We do not have operations in Ukraine, but we have locations in Slovakia, in Poland, in Hungary and Romania. Actually, some of the border areas in these countries are our supply area. Warsaw where more than 100,000 refugees each day are arriving is our supply area. We see what is happening directly. So it's not abstract. It's personal.  So, the Ukraine can and should expect solidarity of Europe. And as a truly European company, we also want to contribute to this solidarity. In a first step, E.ON has made available €2 million for relief measures. We've also set up a central donation platform for employees. And actually, as of yesterday, more than €190,000 have been donated by our employees, and we will obviously double the donation of our colleagues.  And on top, our Operation units provide very direct assistance on the ground. Just give you some examples, in Romania, our colleagues are building energy infrastructure for refugee accommodations. In Poland, they actually helped to build camps to provide beds for kids, half of the refugees – more than half of the refugees arriving are actually kids. In the Czech Republic, we are actually accommodating the families of colleagues in the Ukraine in premises of ours. So, we have taken the families of these operators in Ukraine and put them into homes of ours, premises of ours, whilst the colleagues are still working in Ukraine to keep the energy supply up. So, these days, the priority needs to be about the people of Ukraine, and that's the top priority as far as E.ON.  On the other hand, we have to acknowledge this is also about Europe. It's about Germany. It's about our energy supply today and in the future. And we have now to make some fundamental decisions how we want to proceed and we have to differentiate. And that's the key point about the solutions which we have in the long term and the solutions which we share in a two to three-year short-term perspective.  Let me be very clear. In the long term, we must and will terminate our energy dependency from Russia. There's absolutely no way around it even if President Putin would end the attack in Ukraine immediately. In the long term, we need to diversify our energy imports. And also, you've seen that Germany has now decided to build two of its own LNG terminals. In the long term, these LNG terminals could also be used to import hydrogen. And Chancellor Scholz expressly mentioned this in his announcement. But we also need a hydrogen infrastructure that goes far beyond these terminals.  And by the way, just one side remark, our focus now must be on not having hydrogen 100% green right away from the beginning. First of all, we should make sure that we have enough energy in the system at all. In the long run, the path of the energy transition is the right one. The crisis shows now that the expansion of renewables is important for our independence in Germany and Europe, and that also applies to the expansion, modernization and digitization of our power grids because otherwise the renewable energy will not reach the customers.  So, all in all, we have long-term answers, more diversification of supply, more energy infrastructure, more hydrogen infrastructure, more renewables, more network infrastructure. And all of that is a confirmation about the underlying of our strategy which we presented to you in the Capital Market Day. So, if anything, the long term supports our journey.  But it's not only about the long term. These long-term solutions, which I just presented, will not help us to get through the next winter and through the next two to three years. In the short term, we have to keep the consequences of the war for our energy system, for economy, for households as limited as possible.  Now, short term, the solutions are scarce. We see limited production increases in indigenous gas production in Europe, with the exception maybe of the Huntington gas field.  Short term, we obviously need to attract as much destination flexible LNG as possible. However, I'm wondering that, at current price levels, we are probably doing that already. So, the additional relief from that lever is probably small.  Short-term, we are talking about reactivating reserve assets, postponing the coal phase-out. And short term, we're talking about the last resort possible, forced reduction in demand. And let me be crystal clear. In the case of a short term lack of Russian gas full, full lack of Russian gas, the reality is that we can go through the next winter only with drastic measures, and they will include demand curtailment in the industry.  But this is now all about security of supply. In the short term, we also have to consider affordability. The procurement prices on the wholesale market for electricity and gas are extremely high and will probably remain high as a result of the crisis on whatever level. Nobody really knows the level right now. So, it's all speculation. But it's probably safe to say, it's probably higher than in the past.  And so, in the short term, we need to provide relief for customers. And it should be obvious that, for example, the reduction of taxes and levies on energy is the right first step. And it has been a request of E.ON already over the last years. So, we at E.ON welcome the early evolution of renewables, surcharge as a first step and we will obviously implement it according to the rules being put in place.  Now, let me, however, talk about E.ON and our achievements in 2021. Already in the last year, the market was turbulent, it was a stress test. And we can be, however, proud we have proven once again we are resilient. We are well positioned.  So, if I look back over the last few years, I have three messages. Message number one, we have closed 2021 successfully and above expectations in all area, and that we have managed to do despite extraordinary difficulties. So again, the numbers came out above the guided ranges for 2021. And this despite the fact that we were in the second year of lockdown from the pandemic. And this was also great numbers despite the fact that we had successfully to manage disasters.  We had severe storms in Germany, Sweden and Eastern Europe. Everybody has forgotten them already. We had a devastating flood in the Ahr Valley, which was mostly our supply area. And under the most adverse conditions, we kept the power outages to a minimum. The speed at which our colleagues have rebuilt the damaged infrastructure was really a testimonial to their commitment and capabilities. And so, this isn't the IR call, but nevertheless, let me thank my employees for their determination. It was really a great performance. And actually, we have delivered the numbers, finally, despite being forced to be the safe haven for around 1 million customers that were stranded from untrustworthy providers that had stopped operating. We have absorbed them and that was not to the benefit of our numbers. Nevertheless, we came up with good numbers. And whilst we have done that for other people's customers, our customers were well protected from short-term price adjustments through the long term and forward-looking hedging and procurement which we did. So, an unbelieve achievement by the entire organization against – again, many thanks. And so, that was my message number one. Great delivery despite big challenges.  Second message is, not only did we deliver despite extraordinary challenges, we have on top pushed ahead with our growth strategy, which we communicated to you in the Capital Market Day, leading to growth, more sustainability and digitization. We have ramped up our energy investments, infrastructure investments, and we will invest also more than €5 billion in 2022 and, as we said, around €27 billion until 2026.  We have integrated more renewables in the past into our power grids, but also into new customer connections like the Salzgitter battery factory, data centers in Frankfurt, and I might add that we have also been working on getting the connection to the Intel facility, which was announced yesterday in the area of the Städtische Werke Magdeburg, which is a subsidiary of ours, minority participation, and this connection will be managed by our daughter, Avacon. So all of that further drives our targeted RAB growth of at least 6% in power grids.  We've also seen strong momentum in our future energy home business as the demand for storage and photovoltaic as well as e-mobility is unbroken. And I might add, will probably significantly increase as the economics of all of those solutions will actually become better with the current price levels. And again, I reiterate, by 2026, we want to increase our revenues in these areas but a factor of 10.  We've also been the partners for decarbonization for our customers. And this includes also hydrogen solutions, which have an enormous potential for the European industry and will become a growth driver for us.  I want to add one proof point here, compared to last November, we made an investment in Horisont Energi. That is an investment that fits into our plan. What it really does, it complements our decarbonization offering for industrial customers. With Horisont, we can offer European-wide carbon capture storage of CO2 and the production of clean hydrogen and ammonia, and therefore it gives us the opportunity to offer fully decarbonized cycles to industrial customers.  The same time, we've also continued our path towards increasing sustainability. We have reduced our customer's CO2 footprint by more than 100 million tonnes per year now with our energy solutions and network infrastructure. And we have reduced our own carbon emissions in 2021 by 7%. Actually, we have reduced Scope 1 and 2 and Scope 1, 2, and 3. In total, all of them by almost 10 million tonnes.  And as a pioneer – and we told you that already last year, as a pioneer in ecological network management, we have also continued to create biotopes under our high voltage lines.  So, what that means is we're dedicating ourselves full steam towards the long term target that I've described and the restructuring of our energy system. So great performance despite extraordinary difficulties, great push ahead in our capital markets story.  And now my third message is, on top, we are an anchor for the stability of our energy system. We as E.ON do our homework and we deliver. And we have reached the final phase of integrating energy. Obviously, you take it all for granted, but this year, we will achieve all promised synergies by the end of the year.  We are continuing to make significant progress in digitalization, especially in the context of the UK where we continue to deliver the turnaround even in the current market turmoil and you all remember what happened already in Q4 last year. By now, we have migrated around 8 million customer contracts to a digital platform. And we are following suit in other markets. Also in Germany, we have now moved 7 million contracts to a new digital platform. The same applies to the digitization of the networks, which includes, for example, the successful launch of the smart meter rollout in Poland and also in Germany. We have been always on the record, very critical about the rollout. We have at least achieved 100,000 smart meters. And even if this sounds small, it's actually significantly more than our competitors.  Also, we have made strategic investments in the digitization of the energy system by acquiring envelio and gridX. These are two companies that strengthen our digital network solutions and will become part of our e-Hub of the future. e-Hub is the basis for a new digital ecosystem that will power the entire future energy world, including, for example, cloud-based sales platforms, charging management for electric mobility, management of grid connection services, and so forth. And by integrating all of that, e-Hub will ensure further profitability through digital energy solutions and will be another growth area for us at E.ON.  So, let me summarize again the three points. We deliver our results despite external shocks. That is what we have seen in 2021. We have continued to drive the energy transition in networks and customer solution. And obviously, we continue on that one. And we do our homework on our anchor stability. And if you allow me, this makes me actually quite proud about my company, about my E.ON.  Now, we have to make sure that in the decisions that are being made right now, we use our influence in the best interest of Europe, in the best interest of Germany, especially given the difficulty of the current times.  So, what we will do is, we will continue to drive the energy transition forward and to ensure a stable and as much as possible affordable energy supply for the benefit of our customers. And it's absolutely clear that we have to do that in a market environment that will not calm down overnight.  Russia's attack on Ukraine has changed the rules in Europe, also in the energy markets, and finding the right answers will actually take time. But one thing is clear. A part of the right answers is that the energy transition must and will gain further momentum and we will benefit from that.  It's clear this will be extremely demanding. But we as E.ON, we have a clear route. We have a clear growth strategy and we are on course. And therefore today, I want to close with confirming our long term ambitions to 2026, which we have communicated to you in November last year.  We will propose the dividend of €0.49 per share to the Annual General Meeting for the past financial year. And that is the seventh increase in a row. And at the same time, we're also confirming our target to increase our dividend by up to 5% until 2026.  Now I will, as a CEO, stay focused on delivering the best possible outcome for you as shareholders. We cannot exclude any short-term, especially temporary effects. I think in this current environment, nobody really can. But we are as good as one can be operationally and structurally set up. And we are confident that the current crisis will not have a sustainable impact on our financials.  And with that, thanks for your time and attention. And I hand over for more detailed numbers to Marc.
Marc Spieker : Thank you, Leo. And good morning/afternoon to everyone from my side. Leo has already elaborated how we as a company are meeting the challenges from the war in Ukraine. Not to mention how touched I am personally about the whole situation. It's tough to return to normality in these times. I'm going to hence try to keep my speech crisp and focused on the main topics.  Let me first address the elephant in the room. I would like to elaborate why we feel comfortable with our new 2022 guidance even in these turbulent times. I start with the big picture for business segment before I provide more color on the detailed exposure in each of them individually.  First, we experienced temporarily negative earnings effects in some of our energy networks markets from increased costs from network losses. However, these losses will be recovered in subsequent years on the basis of well-defined existing regulatory mechanisms.  Second, we are confident about our Customer Solutions earnings outlook, mainly due to our stringent risk management and the focus on B2C and SME customers. And thirdly, and finally, our non-core earnings are positively geared to higher electricity prices with almost two terawatt hours of our nuclear generation not yet hedged for 2022.  So, overall most of the negative effects are temporary in nature and subject to establish recovery or pass-through mechanisms, and any remaining effects should largely balance themselves out.  Let me now provide your more detailed color on the impact on our energy networks business. The price driven increase in costs to procure energy for network losses are part of the regulatory formula for each of our energy networks businesses. These cost increases are hence a pass-through items, which means either these costs are fully reflected in advance in the network tariffs, or in case there are differences between actual and those assumed in the tariffs, any price driven variation will be recovered or reimbursed in subsequent years.  Let's look at the individual markets. In our biggest network operation, Germany, as well as the Czech Republic, we do not see even a temporary impact on earnings. In these markets, energy for network losses is procured in advance on the forward market, and both the German, Czech regulator allow inclusion of these hedged forward costs into network tariffs.  In contrast, in several Central/Eastern European countries, current network tariffs only allow for the recognition of costs for network losses based on actual realized energy prices. Therefore, network operators in these countries experience temporary earnings effects in case of material price movements on energy markets as we see them nowadays. Of course, these price induced earnings effects are part of the regulatory formula. We are eligible for recovery in most countries in T plus 2 already.  Finally, to Sweden, here the cost for our own network losses are treated quite similar to Germany or Czechia. However, the transmission system operator costs that are part of our network tariffs as well are volatile as the TSO has to procure network losses on the spot market and passes these actual costs on to us. The positive side, though, Sweden offers a higher flexibility with regard to the timing of the recovery. There, it can actually already start in T plus 1.  What does that mean for our financials in 2021? Our energy network segment earnings were temporarily negatively affected by roughly €150 million for additional costs for network losses. Sweden accounted for roughly €50 million and Central Eastern Europe in aggregate was affected by around €100 million.  For 2022, given current wholesale prices, we have to assume the cost for network losses in Sweden and Central/Eastern Europe will increase even further. We have already reflected higher energy price levels in our guidance range for 2022. The estimated total impact amounts to slightly more than €100 million which are incorporated into our guidance.  We have also validated our outlook, reflecting the most recent peaks in energy prices. This refers to the scenario 2, which you see on slide 11 of our presentation. According to our analysis, this peak in energy prices would lead to an additional temporary impact of about €100 million on our energy networks EBITDA in 2022.  So, even in case of sustainably high prices, you would still remain within our networks guidance for 2022, albeit then at the lower end. And again, any variation is of temporary nature, will be recovered in future years starting in 2023, the latest. With this, on to our Customer Solutions business. Most important message first, for 2022, we have already procured the expected energy volumes for our entire portfolio. Thus, we are from an economic point of view fully hedged.  To remind you, in the absence of specific regulated triggers, such as in the UK, we start to procure energy up to three years in advance. Thus, the procurement cost of our current portfolio is well below current energy market levels. As we are an energy retailer, sustainably higher energy prices have already been and will continue to be translated into higher end customer prices.  Next to the topic of generally increasing energy prices. I would also like to address our direct exposure to Russian gas. We do not have any long-term contract directly with Russian gas producers. Our contracted volumes are sourced in the European wholesale markets via more than 100 active counterparties or directly via energy exchanges on the basis of standard wholesale trading arrangements such as AFID. We apply strict counterparty credit limits and focus on the most creditworthy market participants who equally appreciate to do business with a very robust counterparty like us.  Of course, we immediately stopped trading with European subsidiaries of Gazprom when the Russian-Ukrainian conflict escalated. Still, we have a legacy position of around 16 terawatt hours contracted under standard wholesale trading terms with Gazprom subsidiaries. These 16 terawatt hours will roll off to a large extent already during 2022. So, any remaining exposure will disappear very quickly.  Let me also remind you, in this context that our business focus is on B2C and SME customers. We have already significantly reduced our B2B volumes and will continue to do so.  Moving on to page 11, we also see a limited impact from the current situation on our liquidity. Sourcing via exchanges generally ties up capital via margining. That's known. To reduce our exposure, though, we actively steer ourselves in position also from a liquidity point of view.  For year-end 2021, the economic net debt effect from margining was fairly limited to a positive net balance of just €0.4 billion as we receive variation margins that overcompensated paid initial margins.  At year-end, we also experienced a working capital increase of around €500 million as higher prices could not instantly be reflected in customer installments. This buildup of receivables will, however, be fully reversed once installment payments are adjusted and customers are fully invoiced.  For 2022, we expect a similar negative working capital effect from further price increases, so that effectively our liquidity position should be back to normal by 2023, so the €500 million increase from last year will reverse most likely in 2023. So, the magnitude of this temporary effect is well manageable for us.  The debt levels at year-end 2021 were on prior levels, even though energy prices already increased significantly in the second half of 2021. I would also like to remind you that we have secured funding early on in the year, well ahead of the current escalation of the crisis, with the issue of €1.3 billion of bonds at very attractive terms, covering a major part of our guidance annual funding needs of €2 billion to €4 billion.  To conclude, even in the current extreme situation, we see ourselves well positioned to withstand short-term headwinds and, as Leo laid out, are ready to exploit the long-term opportunities.  As Leo also mentioned, we've seen a very strong business performance in full year 2021. Essentially, we ticked it all off. We not only keep our ambitious growth promises, we even exceeded them and delivered at the top end of our guidance. As promised, we were also able to significantly reduce our debt factor. Based on the strong results for full-year 2021, I also confirm our dividend proposal of €0.49 per share.  Now let me move to the details. Year-on-year, we have significantly increased our group EBITDA by €1 billion, came in at €7.9 above the top end of our guidance. This achievement was driven by a very strong earnings momentum in our customer solutions business with a year-on-year EBITDA growth of 45% to €1.5 billion.  Our energy retail business benefited mainly from the restructuring of our UK, leading – our UK business leading to a low triple-digit million euro EBITDA improvement. In addition, across the markets, weather and COVID-19 related normalization of volumes was supportive.  As mentioned before, we pursued a prudent approach across all our energy sales markets. That's why we weathered the extreme energy market situation very well. Of course, certain negative effects couldn't be avoided, such as taking on customers due to supply of last resort duties. However, these events stayed well in the range of our calculated risk margins. While our energy sales business has proven its resilience, our growth business within our Customer Solution segment also performed extremely well. The Energy Infrastructure Solutions business fully delivered on its growth path and contributed an EBITDA of €480 million. Compared to 2020, this is an increase of 40%, driven by organic growth and high availability of our heating solutions. Furthermore, our B2C retail solutions business grew revenues by 25% year-over-year to €900 million euros with an EBITDA of around €65 million.  Let me now turn to our Energy Network segment. Our Energy Networks earnings were mainly driven by normalized weather conditions, the non-reoccurrence of negative effects from the pandemic, the anticipated regulatory developments in our German business and, as I elaborated on, the higher costs for network losses.  Another significant earnings driver for 2021 was our non-core business, with strong operational performance on the basis of high availability of our plants and high energy prices. In addition, you know that the business benefited from the successful solution for our nuclear production rights, which contributed to an additional EBITDA increase of approximately €500 million.  Our adjusted net income came in at €2.5 billion for 2021, up 53% versus 2020 and €100 million above the top end of our guidance range. In addition to the increase in our operating results, we are seeing expected positive effects in the economic interest line and a lower tax rate of 23%.  On to our economic net debt. Compared to full-year 2020, economic net debt decreased by almost €2 billion to €38.8 billion. The improvement was mainly driven by the development of pension provisions, which benefited from an increase of pension discount rates and a strong plan asset performance.  Our cash conversion rates came in at 80% for full-year 2021. This is below our expectations and was driven by technical spillovers, as well as by the temporary buildup of working capital that I explained earlier.  Let me remind you that we are strictly managing our leverage, in line with a strong BBB/BAA rating. This translates into our debt factor target of 4.8 to 5.2 times. Backed by our performance in 2021, we achieved a debt factor of 4.9. That's well within the target corridor.  Let me now turn to 2022 and our group and core EBITDA outlook. We communicated at our Capital Market Day in November last year that we target a €2 billion to €4 billion portfolio optimization program until 2026. As indicated back then, we don't plan any major transactions, but rather smaller adjustments that then add up to the targeted amount.  As part of this ongoing review of our portfolio, we have now decided to assess very specific strategic options, including possible divestment of our district heating and cooling businesses in Norrköping and Örebro, both in Sweden.  We also have initiated a process to assess the option of partnering up with a co-investor to support the growth of Westenergie, our biggest DSO, broadband infrastructure business in Germany. We will update you on both assessments once they are complete.  Currently, we do not include any relevant earnings impact from such portfolio optimization measures in our earnings guidance for 2022. Please note that we will technically adjust the outlook for 2022 group and segmental guidance ranges only if any material measure with relevant earnings impact should be signed, not earlier.  All in all, we expect another substantial increase of our core segment earnings in the current year to €6.9 billion to €7.1 billion, up from €6.3 billion in full-year 21. On that basis, we expect a group EBITDA of €7.6 billion to €7.8 billion. This strong momentum is mainly driven by significant organic business growth, which I will comment to in a minute, and the delivery of the remaining €400 million of synergies in relation to the energy transaction. Our non-core earnings will decline substantially with only one nuclear reactor remaining in production until end of 2022. When it comes to our Energy Networks business, we expect a substantial year-on-year increase in our EBITDA in 2022 to a range of €5.5 billion to €5.7 billion. The growth was mainly driven by the realization of synergies and additional anticipated increases in efficiency, specifically in Germany. All the efficiency improvements have either been already implemented or are backed up by clearly defined measures.  On the other side, as pointed out earlier, higher costs for network losses will adversely affect the segment also in 2022. If we were to see elevated energy price levels as at the beginning of March, we will finish the year rather at the lower end of the targeted guidance range.  Let me also spend a few words on inflation. Our networks earnings are well protected against rising inflation. In all our markets, the OpEx allowances are adjusted in line with the CPI development or sometimes even with industry-specific indices.  In Germany, also the RAB-driven allowed revenues are benefiting from yearly increase in line with CPI. In regulatory systems that are based on real terms, like especially Sweden, Hungary, and partly even Germany, the respective RABs are also indexed with inflation, which leads to higher regulated asset base driven revenues over time. And in addition, higher inflation will, over time, also be reflected in higher allowed WACCs and allowed ROEs and in the steeper increase of the regulated asset base. Turning to Customer Solutions, we expect our energy sales business to grow mainly due to the realization of synergies, additional benefits from the UK restructuring and operational improvements across all markets.  Our Energy Infrastructure Solutions business grows organically to a range of €500 million to €600 million from around €480 million in 2021. It thereby significantly benefits from the go live of several projects.  In our Customer Solutions segment, overall, we guide for a range of €1.5 billion to €1.7 billion.  Turning to adjusted net income, our adjusted net income mainly follows the EBITDA development. On that basis, we see a strong earnings growth from our core business also on net income level. This positive development is further supported by lower refinancing rates in 2022, partly already locked in by our successful issuances earlier this year. Tax rate is expected to be at 25% this year.  Our strategic direction of travel, as Leo pointed out, is unchanged. Is unchanged to what we've presented at our Capital Market Day last November. And as promised back then, we will ramp up our CapEx to accelerate our earnings growth and remain confident about the robustness of our midterm plan.  We're targeting a €5.3 billion investment program for 2022, fully in line with our guidance of €27 billion for the period until 2026. More than three quarters of our 2022 CapEx will be directed towards Energy Networks. An additional double-digit percentage will go towards Energy Infrastructure Solutions to further grow E.ON's resilient infrastructure footprint. We also update our target on EU taxonomy line CapEx. It now stands at about 95%.  Let me wrap it up with our financial framework and midterm guidance. Our five-year growth plan is fully on track. We have full confidence in our 2026 guidance of around €7.8 billion for the group. We updated the growth rates based on our 2021 actuals.  Until 2026, we expect to grow our Energy Networks EBITDA with a CAGR of 4% to a range of €6 billion to €6.2 billion. Customer Solutions will annually grow by 5% to 8% to a range of €1.9 billion to €2.2 billion. I also again confirm our dividend proposal for 2021, €0.49 per share, and also our commitment to grow the dividend annually by up to 5% until 2026 and beyond.  That's all from my side today. Thank you very much for your attention. And I hand over back to Verena for the Q&A.
A - Verena Nicolaus-Kronenberg: Many thanks to Leo and Marc for their insightful presentations. So, we will now start with our Q&A session. Just a couple of administrative remarks from my side before we kick it all off. So, please raise your hand if you want to place a question. Please turn on your camera if you could when you are speaking to us. Please mute yourself if you're not speaking. And please remind yourself of a two questions per person rule, so that everybody gets a chance to ask a question.  With that, I would like to hand over to Vincent from J.P. Morgan for the first question. And just for your information. Next on the line will be Wanda from Credit Suisse followed by Alberto from Goldman. So keep yourself ready.  With that, over to J.P. Morgan, Vincent. Please go ahead.
Vincent Jean Michel: First question has to be again – apologies for that – on the Russia-Ukraine. So, we can see you have no long-term contracts from Russian gas. You get maybe your supply on the wholesale markets. But that doesn't mean you're immune, especially in the case of curtailment of Russian gas, you can be exposed to [indiscernible]. And on the other hand, some of your B2B clients may be falsely curtailed. So, how do you look at the situation, especially you're reducing B2B customers. But when you're doing so, credit consideration are taken into account. But do you also look at which industries would be most likely impacted, basically? So, on the Russia-Ukraine, a bit more color, if we can, sorry, again, on the direct negative impact potentially and on the positive impact as well, given we have here a massive additional CapEx likely to come for the energy transition. You're not changing your CapEx outlook. Obviously, it's probably too early. But if there is some sense you can give us on what type of acceleration would you expect? And is it something that you can do without further capital increase down the line?
Verena Nicolaus-Kronenberg: I would like to hand over to Leo for the topic on Russia. And then maybe we can briefly move over to Marc on the CapEx side.
Leo Birnbaum: Obviously, you're right. The fact that we have a portfolio which is not "non-Russian," so European wholesale base doesn't mean that we are immune to disruptions in the market, which is actually the case for every single market participant, right? Now, three comments which should give you some comfort. First, if we see disruptions like liquidity crunches, and that was our first issue, we have to say that we have seen governments now acting. We see the likelihood of that actually materializing by now as low. So, as long as we don't really see physical shortages, I think the situation is under control. And we are in very close exchange with the respective governments, so that we do not see any chain reactions, which then eventually would also hit us. This is clear. And so, this liquidity-wise situation is under control.  Now, if it were to come to curtailments, we would be under-proportionately hit because remember that we don't have a large B2B portfolio because we have spun most of that off actually with Uniper. So, in that sense, our customers are mostly B2C small/medium enterprises, and they are less impacted by potential curtailments.  If it comes to containment, let me be clear, this is not the decision of ours, there is a regulatory framework for that based on the EU directive which has to be implemented in each member state. And based on that one, we are making proposals to the gas TSOs, which they then implement as the so-called market responsible entities.  Now, we are in exchange with customers – potentially hit customers. To be very clear, I think this is a challenge which the market needs to resolve. All of us, all of us, the whole industry has actually done these emergency plans to fulfill the EU directive. I personally doubt that all these plans have considered extended, longer-term interruptions in supply. They were probably defined with a more short-term perspective. So, in that sense, there is something to be done, but, as I said, we are probably under-proportionately hit.  Whether force majeure actually is effect, that is an interesting question. That's a legal question. I'm sure this will be in the end sorted out in front of the courts. I'm actually pretty sure that if we would see shortages, somebody would claim force majeure, then everybody else would claim force majeure, and then we would sort out in court whether there was really force majeure.  Now, it really depends on the contracts, on the legal framework in each country, and on the fact whether the market in the end has really cleared and there was a physical shortage or there was just "a tight situation." So no easy answer on that one. Because as I said, I think in hindsight, the best that we can say is we're well hedged. We have a good portfolio, we have good counterparties, very strict credit risk management and we have the customer portfolio which will be less impacted, if at all, from curtailments.
Verena Nicolaus-Kronenberg: Impact on CapEx plan?
Marc Spieker: On CapEx outlook, I keep it short here, at this stage, there is no precise answer on it. Analytically, rationally, everything calls for what Leo elaborated on, that the opportunities in our businesses will increase from further renewables, further electrification, and faster, more pronounced rollout of hydrogen. So, that's all positive. But we are kind of the third week into the crisis. And practically, it's not our focus right now that we've gone through our business plans for more CapEx or not. It's just not the focus at this stage. But we will definitely, at some stage, come back and that will play out to our benefit.
Vincent Jean Michel: Just would like to check one thing. I'm sorry to. On the force majeure, if we have curtailment, actually, would there be a case where actually the force majeure is the state and the authorities basically forcing the curtailment and all the force majeure may become void or something like that. So, that's something I'd be interesting in having your view on this.  And on the CapEx, I understand it's not the your core focus right now, but it is a core focus for all the European governments right now to do something in the coming years. So, it may not be in your guidance, and I understand. However, we just highlighted €200 million again this morning announced in Germany for defense and energy, and that's just the beginning and it's not only in Germany. So, how material can this be when you look at it? And could you give us a sense at least?
Leo Birnbaum: I give you one answer. Germany has now pledged €200 million for energy transition and keeping the effect of the current situation away from customers. Now, obviously, part of that will be support, part of that will be accelerated energy transition. So, we will obviously absolutely have the ambition that some of that money benefits also investments into our business. But as Mark has said, this is very much at the beginning. A headline number has been raised. Nobody knows any details. We are right now focusing on managing the current crisis. So, yes, I expect upsides from all of that in the short term, but we cannot quantify it yet. And we'll come back when we can.  And on force majeure. I just repeat. It's a legal speculation. I think, actually, it's new territory. This will be very interesting for lawyers to sort out. So, let me now not speculate whether if government actually intervenes, that's a force majeure. It might actually not be, even if the government intervenes. I don't know. It might be different in Germany from the Netherlands and from the UK. So, let's sort this out.  The key point that I want to say is, we are probably as well prepared as possible for that one with as good portfolio of customers as possible.
Operator: And let's now move to Wanda from Credit Suisse.
Wanda Serwinowska: Two questions from me. The first one is on your stake in Nord Stream 1. I saw some headlines on Reuters today stating that you are not interested in selling the stake. You move it into your pension funds. So, could you remind us what is the value of the stake in your pension trust? And basically, if the things go worse and you need to make an impairment on the stake, is there any risk to your economic net debt? In other words, would you need to move some cash into your pension trust? And is there any annual contribution from the stake?  And the second question is on your supply business. Have you seen any demand destruction since, I don't know, let's say, November, December until today. And do you see any risk of the adverse political intervention that may affect your retail business? 
Verena Nicolaus-Kronenberg: Regarding your rather financially oriented question regarding Nord Stream 1, I would like to hand over to Marc.
Marc Spieker: Book value of the Nord Stream 1 stake is €1.2 billion. And that is part, as you rightfully say, of our plan assets. And any change in the valuation to that stake, one, have an impact on our pension provisions, with that on our economic net debt as well. Nevertheless, it is not related to any funding or the liquidity need. So, we do not have any funding obligation for our German CTA where the asset sits. And so, it would be a change in the E&D, but it would not represent any trigger on liquidity.
Verena Nicolaus-Kronenberg: Regarding demand disruptions, Leo?
Leo Birnbaum: We are seeing demand disruptions, not actually in our own customer portfolio. We have seen first steel mills shutting down. We have seen, due to supply chain issues, some automotive manufacturers in Germany ramping down, some production facilities are offline right now. So, yes, we have seen in the B2B area, we have seen demand destruction. And probably, we're continuing to see so. But as I said, less so in our portfolio. All the examples that I've just cited are not our customers. But we are obviously seeing this as we're observing the whole marketplace.  Now, on the political risk, I think there are three risks. There is a direct risk of intervention on the generation side. Let me put it, windfall profit taxes being debated right now also on a European level. That would hit us. Less so, obviously, we're not generate anymore. Then the other one is price caps on the retail side. We have to say that we do not have indications that, after what has happened in the UK, we see something like that in our most important markets, like Germany, in the Netherlands, and also in the UK. We have seen Ofgem moving very much in the right direction. And the third one is interventions into the market design. You might have seen plans to try to avoid contagion of power prices via high gas prices and so on. I think, there, the danger is that something is – be introduced without really understanding the unintended side consequences. So, I think, it's like, in this, regulators/politicians need to be very careful. Now, we have seen proposals, especially by Spain, Portugal, Italy, France, Greece pushing in that direction. I would say, if prices would rise further, the pressure will increase on that one. But the question is then, how do we introduce it and how do we make sure that actually is done in a way which doesn't distort markets and avoid scarcity signals.  So, in total, actually, the latter would be also a bigger problem, again, for players that are more on the generation side, which we are not. So, obviously, being downstream players, for now, we see the risk as manageable, but it's clearly a point to watch. Nobody, at this point in time, can say I'm absolutely fine, nothing will happen, don't you worry. It's like this is something to have an eye on because the situation is obviously very dynamic.
Wanda Serwinowska: And to very, very quickly follow-up, if I may. You mentioned that intervention in Spain, Portugal which are not your market, but how about Germany, which is basically your largest market for the supply business, do you see any risk there?
Leo Birnbaum: No. I don't see – on the supply side, the German government has been extremely clear. No price caps being considered – period. Now, windfall taxes, I cannot exclude, but that would be on the generation side. Actually, I think we are fine in Germany. From all the discussion we had with the government, it looks actually very decent.  I have to say I applaud the actions of the German government. They have done most of the things right. And this is probably the best that you can say about anybody in such a crisis.
Verena Nicolaus-Kronenberg: Let's move on to Alberto.
Alberto Gandolfi: The presentation was extremely clear that you have achieved a loss and the outlook looks also bright. So, apologies for keep asking questions that sound negative, but given what's going on, I think trying to assess the tail risk here. So, I wanted to go back maybe again to – again, something we may not be thinking about [Technical Difficulty 0:56:17]. Can you talk a little bit counterparty risk? It's been a bit more in depth. It's great that you have relatively contained exposure, this 16 terawatt hour of gas. Maybe let's say, 5 terawatt hour a year. But what about risk that some of the gas suppliers, maybe not systemic, but some of the weak ones cannot fulfill their obligations. What happens at that case, is it force majeure? Or do you have to step in and buy extensive gas in the market? And secondly, on regulatory evolution and affordability, I think it's very reassuring, Leo, what you just said about the German government. May I ask you if there's debate on the table about something that is not a price cap for retail, but could be potentially a tariff deferral, or perhaps the introduction of a social tariff. Tariff deferral is money you will get eventually. A social tariff may be small. So I was just wondering if maybe the debate is going in that direction. 
Verena Nicolaus-Kronenberg: Maybe with more on counterparty risk from Marc and then affordability to Leo.
Marc Spieker: Alberto, obviously, counterparty exposure is something which we need to closely monitor and manage. But the comforting message from any of our investor is we're doing that. And I have to say that, actually, now running into the second crisis within the last three years, the robustness of our risk management and procurement functions gives a lot of confidence.  So, when it comes to counterparty, it's obviously an optimization which you need to do between liquidity, margin and direct credit risk, and the remaining price risk which you are taking on your own books.  And so, it is that delicate triangle which you need to optimize and where I actually am quite proud that we are optimizing it in a way that it works out really well. That does not mean that we are shielded from the possible event of a default of one of our suppliers. But we are concentrating our exposure on those who are, for example, at the current price environment, benefiting extremely midterm from rising prices. And so, short-term risks is basically with them focused on liquidity. But, actually, we should see their high awareness also among politicians to prepare for, should there be any crisis in terms of market liquidity to step in and save the markets.  There are also from time to time some smaller suppliers. Actually, that's something which we unconsciously include, again, in our – when we are calculating our risk margins, how we set tariffs for customers and so on and so forth. So, in fact, if you look at our last year's result, they have actually two minor insolvencies being included. And guess what, you almost probably noticed that from the outside because this is something which we take care of in the way how we manage our risks.  So, from that sense, the last three years, actually, confirmed me very much the way how we're managing our counterparty portfolio, and that's stress test two times successful. Leo?
Leo Birnbaum: On just tariff deficits, social tariffs, now, obviously, social tariffs depends what governments want to do. But, yes, there is a debate around something like reminding us of the tariff deficit in Spain that you defer some of the bills, let's say, for later years. I think the important thing is then, that this is being implemented not on the balance sheet of the suppliers, because that will lead to all the negative side effects which we had observed in the past. So if this happens, we have been already in discussion that then this needs to happen via the balance sheet of the states.  So, yes, there is some debate on this one right now, but, actually, I have to say it's premature. Right now, governments are focusing on kind of, like, managing the crisis. They are not yet really arriving at the solution mode. So, it's at the beginning.
Verena Nicolaus-Kronenberg: And next one is Rob from Morgan Stanley, followed by Peter from Bank of America.
Robert Pulleyn: Again, just a couple of follow-ups, please, because lots of questions already been asked. So, firstly, as it relates to the network losses and then the impact, can I just clarify, within that guidance, whether this includes one winter or two, i.e. is this assuming the existing commodity environment for 2021/2022 winter, also 2022/2023 winter?  And the second question, and I join one of the other analysts in terms of apologies for the negative flavor of this, but there's so many uncertainty about the situation. Is the Gazprom subsidiaries you highlighted, obviously, a different legal entities to Gazprom itself, but what happens sort of hypothetically if Gazprom does not deliver gas to its own subsidiaries, and those subsidiaries, for whatever reason, do not honor their contract to yourself? 
Verena Nicolaus-Kronenberg: And network losses, maybe, Marc, you want to elaborate?
Marc Spieker: Rob, I guess there is no – I can't answer your question directly. Tariffs are being set by calendar years. So, naturally, the impact which we're referring to cover two halves of two winters. It's the first half that's the winter 2021/2022 And then the second one is the first part of the winner 2022/2023. 2023 part of the winter is not relevant because for 2023 tariffs will then be reset on the basis of high prices during 2022. So, every year, there's kind of a cut off and a normalization, no impact. And only if prices then further rise, you have for the subsequent calendar year an effect. So, the effect, the low three-digit to the million euro is an effect for the calendar year 2022. And if prices stay on the levels where they are right now, there wouldn't be any effect in 2023 further because then tariffs will be reset on the high level.  On Gazprom, look, again, I just want to stress what we have said. We need to be careful here, to be wiser than at the end it will be when it comes to stress testing, also legal systems. Quite technically, as I laid out that it's not a long-term contract. It's a standard AFID agreements under which we are trading with these Gazprom subsidiaries. So, basically, they would run into technical default, would be subject to recovery themselves in the market if they went bust. In that extreme event, technically, in the first place, we would have to procure then in the markets on our own. We then have a legal title towards them. And the question then is, what are the assets that Gazprom has in Europe to which you get – can hold of and so on and so forth. But that's all speculation.  Again, what should create comfort is that the positions we are talking about are very small, it's about 5% of our portfolio. And those conflicts largely roll off during the course of 2022. So, with basically every day, that risk is further going down.
Verena Nicolaus-Kronenberg: And now over to Peter from Bank of America.
Peter Bisztyga: First one is on how you manage your hedging in your retail supply business. I presume you've got more customers, for example, in the UK rolling off on standard variable tariffs than you might have anticipated during the hedging window. You're requiring many customers from bankrupt suppliers, presumably that are un-hedged. So I'm just curious to understand a little bit better how you've managed it, so that you're basically avoiding any negative impact from that at all. I guess, credit to your trading team. But could you just give us a little bit more insight into how you sort of foresee and manage those risks?  And then, a question on rooftop solar. So, the Repower EU plan is going for a big push on rooftop solar in 2022. Presumably, that's quite a big opportunity for your client solutions business. I'm interested in how easily you can ramp up and deliver that from a supply chain perspective, please.
Verena Nicolaus-Kronenberg: I think first question goes to Marc on the hedging side and maybe Leo then on the Repower EU topic.
Marc Spieker: Let me just point it out very clear again. This is a risk which you can't avoid. So, the question is not is this a risk we can avoid. It's indeed a question of how well are we managing it. And that's why – like your question or the way I address it, because, indeed, this is testimonial to the quality of our risk management procurement in these times. So how do you do that. And, of course, it all starts with the customer. You need to have a very clear eye on how is your customer behavior developing over time due to a number of factors. One important, of course, of them being price levels, but there are also others.  And then, you need to articulate a very clear view on – also with regard to activities, acquisition prices, sales channels and so on and so forth, where will your portfolio, at any given state of the future, end up in terms of volume? And that's actually – is an extremely important part. So, you need to have a very close eye on your customers or customer behavior and where your demand for your portfolio will actually end up. And on that basis then, it is all about early on adjusting your portfolio before basically the rest of the market does it. And in that respect, we have been very, very successful early on adjusting our procurement where that was indicated and by what we saw. And that means that, overall, the impact is limited.  Let me finally just stress again, then it's not that we went through last year without any negative effect. I referred earlier to the impact from supply of last resort, activities where we had to take on across Europe about 1 million customers. And that stands because we had to – you don't foresee that at that magnitude and precisely the timing when that happens. And that cost us a low three digit million euro amount. Now on the flip side, if you take €100 million, divide it by 1 million, that makes an acquisition cost for a customer or about €100. So, even in that sense, it's actually fair pricing and to get a customer at that price. And so, economically, that's although short term earnings impact, it's actually value accretive.
Leo Birnbaum: Peter and Marc, if I may add, the hedging is actually not only happening on the hedging side, it's also happening in your business processes. For example, thinking about your acquisition strategy, because if you combine the commercial processes in retail with what you're doing when seeing an open market, then you can further optimize. So, it's not that we run through the market with an unhedged – with an unchanged acquisition strategy, no matter what happens, and then the hedging guys sort it out in a smart way. We actually connect the dots end-to-end also including changes in customer behavior and then, in reflection, what does this mean, for example, for our channel strategy. I think there's more flavor to that. But as I said, we can, I think, in total, be quite proud. So, we got more right than wrong. I think that is the conclusion.  Now on rooftop solar, yes, there should be a push. Yes, we're well positioned to set it up. We have actually already in the last years – or really two years ago, we have started to build a supply chain towards tier one suppliers, especially in China, to have a rooftop solar, PV modules on stock, so that we can really deliver. As long as we don't see major supply chain disruptions to China, we are actually extremely well positioned – period. In the case, actually, we would see supply chain disruptions to China, then we would have a PV issue anyway, given that that is the largest supply of PV modules to Europe. Then, obviously, the European plans would be in shambles. So, now we are well positioned.
Verena Nicolaus-Kronenberg: And next one is Louis followed by Deepa.
Louis Boujard: Maybe, firstly, to come back because it's, of course, a key topic here on the regulatory risk of – of a risk of regulatory intervention. You provided some elements in your recent answers regarding [indiscernible] commitment in Germany that you would be able to remain market oriented, that you could pass through to the final customers eventual rising bills, et cetera, going forward. But at the same time, for the time being, I understand that, in 2022, it's still pretty okay in terms of impact on the final bill. Do you feel that this commitment can be strong enough as well in 2023, in 2024 when actually you will have to quite significantly increase the power bill of the final customers? And maybe this question could be on the different geographies on which you are, where do you feel more or less comfortable, if possible, on this specific aspect?  My second question would be regarding the disposal strategy. You talk about maybe on the district heating first – I'm not going to say the names, but uncertain for the district heating that you mentioned. Could you please provide us with an idea of the EBITDA and the EPS impact that it would represent in case of disposals? And also, if possible, could you tell us why it's specifically these ones that are spotted. Do you have already spotted any buyer on this specific company? And more specifically, more broadly, is it part of your €2 billion to €4 billion disposal plan that you have announced?
Verena Nicolaus-Kronenberg: Maybe, Leo, you start with regulatory intervention. 
Leo Birnbaum: First, it's speculation. It's very hard to answer. Second, however, we've seen the politics are prepared to actually go quite a long way. If you just look at the increase in the price cap in the UK and the order of magnitude of 50%, that was remarkable. So I think it has been understood that the price caps are detrimental. And so, I am actually, for the time being, confident that the answer that I've given to you now will not change next year. But, obviously, it depends how the whole thing's really evolved and continue.  Now on the on the EBITDA of the businesses, two businesses combined have mid to high double digit million EBITDA.
Louis Boujard: Could you just, on the follow-up on this one, confirm why specifically in this one district heating business? Is it because you have already spotted a new buyer?
Leo Birnbaum: No, actually, I think we have development to an extent that they are mature assets which are providing a very stable cash flow, but they have limited growth potential. And in that sense, it makes sense for us to do asset rotation with these assets and put them into the marketplace and redeploy the capital in assets where we can actually leverage the capital again for growth options.
Verena Nicolaus-Kronenberg: And next one is Deepa. 
Deepa Venkateswaran: We've been discussing a few questions on retail. So, I guess, maybe an impact that won't be apparent immediately, but what about things like bad debts, given these unprecedented rises in commodity prices with a time gap of, I don't know, 6 months to 18 months? What is your view on that? And have you baked anything about bad debts in your guidance?  And then, is your assumption that the pass-through that you need to put through this year is largely there? Could you quantify maybe what your assumption is? What's the extent you're not able to pass through, so we can just get a sense of that?  And my second question is the Easter package that is expected to come out in Germany. Are you expecting any sort of Easter eggs? So, I don't know whether that's planning – a speeding up or any other measures? Or would you say that it's maybe less relevant for you? 
Verena Nicolaus-Kronenberg: Bad debt and assumptions to Marc and maybe the Easter egg for Leo.
Marc Spieker: At bad debt, first of all, affordability is obviously a topic. Politicians are well aware of it. Actually, in each one of your market, politicians have a toolbox. You referred to that on price cap. So we do not actually see a major risk at this stage. So, the question of affordability and relating to that better, I think we just see very well – high awareness and a toolkit around that, which we think we'll have to deal with it.  Bad debt on our balance sheet and our portfolio, they haven't increased. Actually, haven't increased over the last three years, not due to the pandemic. And we do not expect now the circumstances to see high exposure.  By the way, final count, we also didn't see any major movement. If you think about back in 2008, 2009, when we hit the last significant peak in commodity prices, also that didn't change the bad debt topic materially.
Leo Birnbaum: On the chocolate and the Easter eggs, so it's actually really hard to say. There should be some chocolate, so to say, some positive Easter eggs because the government wants to deploy large amounts of money into new infrastructure. So, that could have an upside for us, even though one has to say everything that has been announced so far is extremely unspecific. So I really can't tell you now where exactly, how much and whatever and how to – we would need to see where the discussions is. So far, it has been only earmarked a large amount, but then given that we are such a large player, something should be in there. So, that's point number one.  Point number two on the Easter eggs. There will be stuff in there like acceleration of procedures and so on. Now, obviously, this is not in that sense of surprise because it has been long announced anyway. So, it will be a positive, but nothing that really, I assume, will change the picture for us. And so, in that sense, I will say yes, there should be some positive in it, but I can't make it specific.
Verena Nicolaus-Kronenberg: And next two questions come from Piotr from Citi and followed by Lueder.
Piotr Dzieciolowski: Two questions asked already. So, two from my side. I firstly wanted to ask you about you as a counterparty for a PPA transaction. How much have you done as a receiver – offtaker of the PPAs and are you trying to develop this given that you have all the customer base?  And second question, I wanted to ask you about – maybe a question to Marc about the first quarter development on the pension provisions and kind of a value of asset plan. Is there any significant changes given what the market has done and the impact on the first quarter net debt we could have had?
Verena Nicolaus-Kronenberg: I would like to hand that over to Marc, please.
Marc Spieker: Pensions, Piotr, it's a mark-to-market and I'm not sure where that really helps, look at even quarters. Generally, if you're very comfortable with the exposure, it carries a lot of self built-in protection, natural hedging. If I look at the first two months of this year and discount rates going further up while the asset valuations have gone slightly down, as you can imagine, net-net, this doesn't make us now extremely exposed to what's currently going on. I would rather expect in such an environment that our pension provisions would continue to improve, to go down.
Leo Birnbaum: And on the PPA, we are looking at such actions, but it's too early to say. 
Verena Nicolaus-Kronenberg: And, last but not least, looking at the time, Lueder. Afterwards, I would like to conclude this call.
Lueder Schumacher: Two questions on my side. First one is going back to something Leo mentioned earlier that, in the long run, Europe has the answers to replace Russian gas volume, but in the short run, clearly, we don't. This sounds like there isn't great confidence in the EU statement that two-thirds of Russian gas can be replaced by the end of the year. And leading on to the sort of what-if scenario, what if these Russian gas flows were to stop completely? Leo mentioned the EU directive that would come into force. I believe Uniper, in their press release, mentioned the Germany as a separate law, the Energy Security Law from 1975 that would be applied. But either way, is your belief that in an extreme scenario where these flows stop, that governments will take over for the procurement and delivery of gas and that utilities will be relieved of their delivery obligations. So, just a bit of a what-if scenario analysis.  And the second question is on your slide 11. That's the first slide 11 in your presentation. Can you explain the recovery mechanisms for network losses? In 2021, it was €100 million from Eastern Europe. Now, how solid is this recovery mechanism in the countries where you have exposure because, in especially in Eastern Europe, there sometimes can be a bit of a gap between regulation as it is on paper and how it is applied in practice.
Leo Birnbaum: EU has actually suggested two-thirds can be reduced. The German industry association, BDW, has actually suggested that it's rather one-third. I'm part of the BDW. So I would be rather skeptical also looking through the EU plan.  Now, obviously, the big question is what is your basis here that you're taking? And the second one is what demand destruction are you assuming driven by prices beforehand. So, obviously, depending on those assumptions, you can come to different conclusions. I would be in the cautious camp.  And now with government takeover, I think government would protect those entities that might fall and trigger a chain reaction in the market and take over their obligation. I would not expect governments to take over all the obligations in case of a severe disruption. So they would take over probably initial players and then we would see the curtailment which needs to happen no matter what the legal framework is, which drives that one. But again, this is one of the topics which is being sorted out right now. Sincerely, we are okayish prepared for that scenario. But in reality, there are many details that we still need to sort out together with the government. But without a legal framework, they also – the governments would really struggle. So, this is what we're currently working on in most markets to detail actually the emergency plans which we have and to figure out kind of like how compensation happens in these places. Again, we as E.ON, we are not directly impacted we because we are not directly tied to import contracts which would really expose us in such a situation. And therefore, I think we will be shielded from immediate consequences because chain reactions will be prevented by governments. 
Verena Nicolaus-Kronenberg: Network losses, over to Marc briefly.
Marc Spieker: Lueder, the recovery mechanisms have been extremely robust in the past. Looking forward, the recovery will start T plus 2 and then be spread over a couple of years. And if I look at the backwardation in the forward curve, I actually expect a recovery then in those markets to kick in when actually commodity prices should come back. At least, that's I think what you would have to rationally assume that more time will bring more options to substitute and bring prices down again.
Leo Birnbaum: Can I give one hopeful comment, a positive at the end? So, many of you actually said, sorry – despite the presentation for asking something negative. So, I'll just give you a positive in this crisis. Actually, what happens is also we are seeing adaptation of regulators to the new environment faster than we have ever seen. So, positive example is Slovakia where the regulator actually improved the mechanism from a T plus 1 to a better regime in the future, acknowledging that they hadn't foreseen the type of volatility which we had in. So, we might actually see some other adaptation at a speed which we would not have believed possible. In a crisis, sometimes people just perform better.
Verena Nicolaus-Kronenberg: Thanks, Lueder. And yeah, thanks, everybody, for your interest. Many thanks for Leo and Marc for taking their time for the questions. And yeah, if there are any questions that are still not answered, obviously, the IR team is available for everything that still comes to your mind. I'm very much looking forward to see you all soon in person. Stay healthy and goodbye from us.
Leo Birnbaum: Thank you. Goodbye. 
A - Marc Spieker: Bye-bye.